Operator: Good afternoon my name is Michelle, and I will be your conference call operator for today's call. Welcome to the Anavex Life Sciences Fiscal 2019 First Quarter Financial Results Conference Call. At this time all participants are in a listen only mode. As a reminder this conference call is being recorded. I will now like to introduce your host for today's conference, Mr. Scott Gordon. Please go ahead sir.
Scott Gordon: Thank you, Michelle, and thank you everybody for joining us and good afternoon. We appreciate you joining us today for the Anavex Life Sciences conference call and webcast. Our agenda is to review the Company's financial results for the first quarter of fiscal 2019, provide a clinical study update and highlight recent corporate developments. A taped replay of this call will be available approximately two hours after the call's conclusion and will remain available for one month. The call will also be available for replay on Anavex's website at www.anavex.com. With us today is Dr. Christopher Missling, President and Chief Executive Officer; and Sandra Boenisch, Principal Financial Officer. Dr. Missling and Ms. Boenisch will make prepared remarks, and then we will take questions from equity analysts. Before we begin, please note that during this conference call, the Company will make some projections and forward-looking statements regarding future events. We encourage you to review the Company's filings with the SEC, this includes, without limitation the Company's Forms 10-K and 10-Q, which identify the specific factors that may cause actual results or events to differ materially from those described in these forward-looking statements. These factors may include without limitation, risks inherent in the development and/or commercialization of potential products, uncertainty in the results of the clinical trials or regulatory approvals, need and ability to obtain future capital and maintenance of intellectual property rights. And with that, it is my pleasure to now turn the call over to Dr. Missling.
Christopher Missling: Thank you. I'd like to thank everyone for joining us on today's conference call to review our fiscal 2019 first quarter financial results and share with you our clinical updates for ANAVEX2-73. First, we were pleased to report that since enrollment started on October 30, 2018 for the Phase 2, ANAVEX2-73 Parkinson disease dementia study we have achieved over one-third of the total patient enrollment target to-date. The company is also executing well with enrollment for the Phase 2b/3 ANAVEX2-73 Alzheimer disease study with over 80 patients screened to-date. Regarding our Rett Syndrome program we recently successfully submitted the Phase 2 ANAVEX2-73 study to the respective institutional review board of the first three clinical trial sites and we will continue to add further sites in the United States to the study in the coming months. Last month we announced the appointment of Walter Kaufmann, MD as Chief Medical Officer of Anavex. We're very excited to have Dr. Kaufmann on our team. Dr. Kaufmann brings extensive experience in Rett Syndrome and other disorders related to Anavex target indication. I'm looking forward to his involvement in our execution of the ongoing clinical studies and to the continued development of ANAVEX2-73 for both neuro developmental and neurodegenerative diseases. And now I would like to like to direct the call to Sandra Boenisch, Principal Financial Officer of Anavex for a brief financial summary of the recently reported quarter.
Sandra Boenisch: Thank you Christopher and good afternoon, everyone. Our operating expenses for the first quarter of fiscal 2019 were $7.5 million compared to $4.1 million for the comparable quarter in fiscal 2018. Operating expenses in the first quarter of fiscal 2019 include in aggregate of $2.1 million in non-cash charges related to the issuance and vesting stock options. This compares to $1.1 million in non-cash charges in fiscal 2018 first quarter. The increase in operating expenses is also attributable to higher research and development expenses compared to the same period last year. R&D expenses in the first quarter of fiscal 2019 were $5.7 million up from $2.7 million reported in the first quarter of fiscal 2018. The increase in research and development expenses is a result of expenses incurred a connection with the advancement of clinical studies for ANAVEX2-73 as well as non-recurring expenses of approximately $1 million associated with large scale manufacturing of ANAVEX2-73 and quantities reserved for potential future commercial use. The net loss for the first quarter of fiscal 2019 was $7.3 million of $0.16 per share as compared to $4.1 million or $0.09 per share in the comparative quarter of fiscal 2018. During the first quarter of fiscal 2019 we used $4.2 million in cash to fund operations and our cash resources at December 31, 2018 were $20.7 million. We believe that we have sufficient cash resources to fund our objectives for the next two years. Given our cash on hand and the support we received from the Australian government and other third parties to fund our ongoing clinical trials. Thank you and now I'll turn it back to Christopher.
Christopher Missling: Thank you Sandra. In summary, we're actively focused on execution of the current clinical studies for ANAVEX2-73. We're very pleased with the phase of enrollment for the novel genomic marker driven late-stage CNS precision medicine clinical studies in Parkinson's disease dementia and Alzheimer's disease. We are looking forward providing continuous updates on enrollment for these studies as we advance into 2019. We will be presenting a more detailed company update at the 2019 BIO CEO Investor Conference on Monday, February, 11, 2019 at 1:30 PM Eastern Time in New York. We look forward to providing further updates as advancements continue. I would now like to open the call for questions. Operator, please go ahead.
Operator: [Operator Instructions] our first question comes from Jotin Marango with Roth Capital. Your line is open.
Jotin Marango: Congratulations on the enrollment progress. My question is to Christopher are about the Rett program. It's a very interesting new indication which is getting hotter out there. So is there one functional parameter or perhaps the constellation of parameters that are thought to be clinically meaningful in assaying improvement in the disease. Perhaps there are several are some of them more clinically meaningful to the patients. And then lastly, the important part of the question where do you think regulators are in understanding and then having consensus on what is important in evaluating a disease? Thank you.
Christopher Missling: Good questions, regarding the Rett indication. I will start with the second question, first. So there has been a response from sponsor with proposed Phase 3 design [technical difficultly] Kaufman which is now our Chief Medical Officer and the [indiscernible] consist of a group of behavioral and composite questionnaire of the symptoms of the Rett's pathology. We do know that the Rett pathologies many folds in its pattern. There is a not a unifying feature of these disease. I give you just a few examples, one of them is cognitive impairment. The other one is seizures, the third one is motor impairment and the fourth one is anxiety. So in all of these four features of phenotypes are adequately addressed in this RSBQ, Rett Syndrome behavioral questionnaire and so that now also answers your first questions I assume.
Jotin Marango: Yes.
Christopher Missling: And that's also the measurement we're using for our study.
Jotin Marango: Thank you and the last question. In the Rett study or in the Rett program overall, do you expect that engagement of Sigma-1 could segregate responders based on target variant similarly to what you saw in Alzheimer's or do you think that response to your whatever the endpoint maybe could be more homogenous, since the disease itself is also monogenic differently from Alzheimer's. Thank you.
Christopher Missling: It's a very good question and since there has not been any whole genomonalyse [ph] of Rett's Syndrome patients yet we cannot answer the question, if there is a correlation of the Sigma-1 variant in that group of patients. If we do find how that there is a different response of the patients with the variant which we identified being not responding as much as the wall [ph] type genetic function of the Sigma-1 receptor, then we would able to tease that out because we have included in our Rett Syndrome study. The pre-specified endpoint of separating those two, so we would be able to tease that out and separate it. If however there would be just one of those two variants, then we would be evaluate the effect of it and the observation was in our Alzheimer's 2-73 study that the variant which was not a giving the patients who have the variant are not in effect at all. It was just not as good as the wall [ph] type variant. So it's not that the patients with the variant are completely not able to respond to our drug, but the ones with the wall [ph] type variant seemed to be responding better. I hope that answers the question.
Jotin Marango: Understood. Thank you very much.
Operator: Thank you. The next question comes from Ram Selvaraju with H.C. Wainwright. Your line is open. Please proceed.
Ram Selvaraju: Regarding the enrollment piece in the Parkinson study. It's very helpful that you provide us with some granularity regarding the current status of enrollment. But I wanted to know, if you expect the current piece of enrollment to stay the same, to quicken or to slow down as you go through the remainder of the enrollment period and if it is going to accelerate, how fast might it become and what implications would that have for the potential time frame within which you would be able to complete enrollment in the study. And then the second question I had with regard to this additional clinical grade supply material that you indicated had been manufactured. I believe in the press release, it made illusion to sum of this being for commercial use and I was wondering if you could give us some additional color on what specifically that means. Thank you.
Christopher Missling: All right, so the first question is about the enrollment of the Parkinson disease dementia study. So we reached over 30% to-date and we initiated in October 30, so two factors are here contributing. One is that, study sites at the beginning usually not the entire complete study sites active as we progress into the study. So there's a chance of at least keeping that acceleration at that level or maybe even to accelerate it further. So the chance is potentially given, we have not given yet a timeline of when the top line data will be reported. But at this point in time, it's fair to say it will be 2019 event and we will specify that once we have more visibility on the continuation of the enrollment of the trial. The second question regarding the manufacturing of the material which could be also for potential and commercial use. We have scaled up the ANAVEX2-73 manufacturing to levels which are beyond the need of the clinical material and for that reason, knowing and having the stability confirmed also that this material will be used and available, if so for future commercial use, if that would be taking place, if that would be required.
Ram Selvaraju: Okay and then just one very quick question. If you can comment on current trending of stock based compensation, if you think that the amount recorded for this period would be predictive of the amounts you expect to record for subsequent periods as we get further into the calendar year. Thank you.
Christopher Missling: May I ask for specific question, what are you referring to, what stock?
Ram Selvaraju: Stock based compensation.
Christopher Missling: For management?
Ram Selvaraju: Not necessarily for management. In general, if we look at the stock based compensation expense that you booked on your cash flow statement for this most recently reported period. I just wanted to know, if we should expect that amount to be the same for the next couple of quarters of if you expect it to trend up or trend down?
Christopher Missling: I think it depends on the staffing strategy of the company. So I would not be able to give guidance on this. But I would fairly assume that it's good to assume that it could stay in that current level.
Ram Selvaraju: Okay, thank you.
Operator: Thank you. [Operator Instructions] there are no questions in the queue. I'll turn the call back over to Dr. Missling for final remarks.
Christopher Missling: Thank you all for participating in today's conference call. I hope you are as excited as we are about the recent progress at Anavex and our prospect for the year ahead. Should you need any additional information or have any questions. Please visit our website at www.anavex.com or call or even ask. This concludes our remarks for today, operator please.